Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Comtech Telecommunication Corp second quarter fiscal 2008 earnings conference call. At this time all participants are in a listen only mode. Later we will conduct a question and answer session. At that time if you have a question, you'll need to press star and 1 on your push button phone. As a reminder this conference is being recorded Thursday March 6, 2008. I would now like to turn the conference over to Mrs. Stephanie LaMontia of Comtech Telecommunications. Please go ahead ma'am.
Stephanie LaMontia: Thank you and good morning. Welcome to the Comtech Telecommunications Conference call for the second quarter of Fiscal year 2008. With us on the call this morning are Fred Kornberg, President and Chief Executive Officer of Comtech; Robert Rouse, Executive Vice President and Chief Operating Officer; and Michael Porcelain, Chief Financial Officer. A news release of the company's results was released yesterday afternoon. If you have not received a copy please call me and I will be happy to send you one. Before we proceed, I need to remind you of the company's safe harbor language in the following way. Certain information presented in this call will include but not be limited to information relating to the future performance and financial condition of the company. The plans and objectives of the company's management and the company's assumptions regarding such performance and plans are forward looking in nature and involve certain significant risks and uncertainties. Actual results could differ materially from such forward looking information. Any forward looking statements are qualified in their entirety by cautionary statements contained in the company's SEC filings. With that, I'm pleased to introduce president of Comtech Fred Kornberg.
Fred Kornberg: Thank you Stephanie. Good morning everyone and thank you for joining us today for our fiscal 2008 second quarter earnings call. Today I am extremely pleased to announce the strangest quarterly performance in our companies history and based on our outstanding results the first half of the year, it gives me great confidence once again to state the FY08 will be our sixth year in a row of record revenues and profits. Before I provide updated guidance for FY08, Mike Porcelain our CFO, will provide an overview of our financial results for the quarter and then rob Rouse our chief Operating Officer will then provide an update on each of our 3 business segments.
Mike Porcelain: Thanks Fred. Good morning everyone. Lets begin by reviewing some of the key income statements trends for the quarter ended January 31, 2008. Second quarter net sales were $152 million compared to $111.4 million in the second quarter of FY07. This represents an increase of 36.4%. The increase in net sales reflects significant growth in both our mobile data communications in RF Microwave Amplifier segments partially offset by lower sales as anticipated in out telecommunications transmission segment. Let me talk about the growth first. In our mobile data communication segment, net sales increased by $48 million to $87.7 million. This was a quarterly record for the segment. This increase in sales was due to the significant increase in deliveries to the US Army and Army National Guard in connection with our new MTS and Blue Force Tracking IDIQ contracts. As a note, last years Q02 FY07 net sales for this segment included sales of $3.8 million related to a favorable gross profit adjustment on our original MTS contract. In our RF Amplifier Microwave segment sales increased by $5 million to $14.1 million or 54.9% from that years Q02 sales of $9.1 million. This increase was primarily due to increased sales of our amplifiers and high powered switches that are incorporated into defense related systems, including sales associated with our participation in the crude 2.1 electronic warfare jamming program. Partially offsetting the increased sales in these two segments were lower sales as expected in our Telecommunications Transmission segment. Q02 2008 Telecommunications Transmission segment sales were $50.2 million. This represents a $12.4 million decline when compared to the Q02 sales recognized in FY07. Sales in this segment reflect increased sales in our satellite earth station products as we continue to see the benefit of ongoing strong demand for a bandwidth efficient satellite earth station modems. These sales were more offset by lower sales of our over-the-horizon microwave systems, primarily due to lower sales of our 16Mb troposcatter modem upgrade kits for use on the US DOD's TRC170 digital troposcatter terminals as well as anticipated lower indirect sales to our north African country end customer. We believe this customer is between major phases of a multi year roll out large product. As a note our Q02 FY07 sales for the telecommunications transmissions segment include sales of $1.2 million related to a gross profit adjustment on a large over-the-horizon microwave system contract. Of the company's consolidated FY08 second quarter sales, 23.4% were to international end users, 70.6 % were to the US government, primarily related to sales in our mobile data communication segment and 6% to domestic commercial customers. Gross profit increased to $66.3 million in the Q02 2008 from $44.9 million. Gross profit as a percentage of net sales was 43.6% for the Q02 2008 as compared to 44.8% for the second quarter of last year. As a note, last years numbers reflects net favorable accumulative gross profit adjustments of $4.5 million relating to certain large contracts including our original MTS contract. Excluding these adjustments out gross profit percentage for the 3 months last year would have been 42.7%. The increase in profit from this 42.7% from the 43.6% that we reported this quarter was driven by increased gross profit percentage in both our mobile data communications and telecommunications transmission segment offset by the impact of a higher percentage of sales occurring within the mobile data com segment which typically realizes a lower gross profit percentage than our telecommunications transmission segment. In addition of Q02 gross margin percentages were impacted by lower gross profit percentage in our Rf microwave amplifiers segment. Our mobile data communications segment experiences a higher gross profit percentage due to increased operating efficiencies associated will increased sales related to our new MTS and Blue Force tracking contracts and more favorable product mix during Q02 2008 as compared to Q02 2007. Our telecommunications transmission segment experienced a higher gross profit percentage as it benefited from increased usage of our high volume technology manufacturing center including other incremental satellite earth station product sales and used by our two other operating segments that were partially offset by lower sales of our 16Mb troposcatter modem upgrade kits. Our RF microwave amplifier segment experienced a lower gross profit percentage due to long production times and difficulties associated with certain complex amplifiers and high powered switches that employee newer technology. On the expense side, SG&A expanses of $21.3 million in Q02 2008 were $3 million higher than Q02 2007. As a percentage of sales, SGA was 14% in Q02 2008 compared to 16.4% of last year. The increase in SG&A dollars is primarily attributable to higher payroll related expenses including the amortization of stock based compensation and cash based incentive compensation associated with the overall increase in net sales and profits of the company, and to a lesser extent, legal and other professional fees. SG&A expenses for Q02 2008 include $2 million of stock based compensation expense compared to $1.2 million in O02 2007. R&D expenses were $9.1 million in Q02 2008, 19.7% higher than the $7.6 million in Q02 2007. The increase in expenses primarily reflects our continued investment in R&D efforts across all 3 of our business segments. Amortization of intangibles was $400,000 and $700,000 for the 3 months ended this quarter and last year respectively and primarily relates to intangibles with finance lives that require connections with various acquisitions. The decrease in amortization is related to certain intangibles that have been fully amortized. Operating income for the 3 months ended January 31, 2008 was $35.4 million compared to $23.3 million in the prior year period. Operating income for Q02 2008 includes stock based compensation of $2.6 million compared to $1.5 million in Q02 2007. The increase primarily relates to an increase in both the number and related fair value of stock based awards that are being amortized over their repetitive service periods. Interest expense was primarily represents interest associated with our 2% convertible senior notes was consistent between the fiscal quarters at approximately $700,000. Interest income increased from $3.3 million in Q02 2007 to $4.1 million in Q02 2008, primarily due to increase in investable cash since January 31 2007 partially offset a decline in interest rates. The affected tax rate for Q02 2008 was 34.5% compared to 30% in the same period last year. The increase in the affected tax rate was attributable to the reporting of certain net tax benefits last year primarily the retroactive extension in December 2006 for the Federal Research an Experimentation Credit. IN addition we reported discreet tax benefits of approximately $100,000 for Q02 this year as compared to $200,000 last year relating to disqualifying dispositions of stock options. On a non-GAAP basis, which excludes the impact of stock based compensation, the affected tax rate for the second quarter would be 34.5% compared to last year's non-GAAP number of 30.4%. Going forward and excluding the discreet items I mentioned above, we currently expect that our affected tax rate for FY08 will approximate 34.75%. Our affected tax rate for FY08 reflects the fact that the Federal Research and Experimentation credit has expired as of December 31, 2007. Because we believe that many investors may continue to measure our operating results before the expense in stock based compensation, we intend to continue to disclose on a performance basis what our earnings would be if we did not expend stock options. With hat in mind, net income for Q02 2008 excluding stock based compensation expense would have been $27.1 million or $.96 per share versus non-GAAP net income for the second quarter last year of $19.1 million or $.70 per diluted share. GAAP net income for Q02 2008 was $25.5 million or $.91 per diluted share compared to $18.2 million or $.68 per diluted share. EBITDA was $43.7 million for Q02 2008 compared to $23.7 million for Q02 2007. Cash flow used in operating activities for the 6 months ended January 31 2008 was$1 million compared to cash flow provided by operating activities of $17.2 million in the 6 moths ended last year. During the first half of FY08 we experiences an increase in working captica requirements associated with a significant increase in sales activity across our company. The increase in working capita acquirements primarily for accounts receivable inventory was driven by the timing of shipments and related collection of cash from our customers, as well as the necessary investment in inventory in support of current back log that is expected to be recognized as revenue during the second half of FY08. Even with the records sales in Q02, we enter Q03 with a very strong back log. As of January 31, 3008 back log was $219.2 million this compares to $129 million as of July 31, 2007. Before I turn it over to Rob, I would like to comment on our cash equivalents and provide an update on the Brazil Subpoena matter. Our cash balance at the end of Q02 2008 was $340.9 million. As you are aware a number of companies have experienced capital losses relating to heir investment of cash equivalents and preferred option rate securities or municipal option rate securities, more commonly referred to as MAR securities. I am pleased to inform you that per our investment opportunity all of our cash equivalents are invested in Money Market funds that are weighted AAA by Moody's. Furthermore, we do not own any investments in MARS or Preferred option rate securities. We continue to actively monitor our cash equivalent investments and will continue to invest our cash equivalents cautiously to avoid the issues that other companies have experienced. At this time, let me also provide a brief update on the subpoena that our Florida based subsidiary, Comtech Systems, received in October 2007 from the US Immigration and Customs Enforcement branch of the Department of Homeland Security, known as ICE. The subpoena relates to a Comtech Systems contract with the government of Brazil with potential revenue of approximately $2 million, none of which has been recognized today. We believe the subpoena is focused primarily on whether or not Comtech Systems was in compliance with export related laws and regulations as it pertains to this specific contract. We engaged outside counsel to review this matter. The area of export law is extremely complex and our investigation to date has found what we believe to be inadvertent administrative errors in obtaining certain nondisclosurable agreements. We believe we made a good faith effort to comply with applicable regulations. We are cooperating with the ICE investigation and intend to continue to do so. We have also written to the state department outlying our position and have requested confirmation of our view. Additional detail on this matter may be found in our 10Q which was filed yesterday afternoon. With that said, let me turn to Rob, who will discuss recent developments in our 3 business segments.
Rob Rouse: Thanks Mike. Good Morning and let me thank all of you for joining the call today. I will provide an update on each of our business segments including key programs and markets, products and trends. Lets beginning with out telecommunications transmissions segment. For those of you who do not know us well, our core capability in this segment is to enable satellite based and over-the-horizon based communications in environments where terrestrial communications are unavailable, inefficient, or too expensive. Our satellite earth station product line is well recognized as a thought leader in satellite modem technology. In fact, we believe we are the clear market leader in this area. What this means for our end customers is that using innovative enabled technologies, such as error correction and carrier in carrier cancellation techniques, we are ale to maximize satellite transponder bandwidth utilization, thereby directly and significantly reducing our customer's satellite operating costs. Our satellite earth station product line enjoyed another strong quarter with revue growth driven by the continued expansion of our market leading products into international markets such as Asia, Eastern Europe, Latin America, and Africa. Our optimistic outlook for our satellite earth station products continues to be driven by sustained market demand and our clear and compelling product differentiation. Among the factors supporting this view are the following; Our international customers, who comprised the majority of our revenues in this product line continue to execute on their growth strategies as evidences by their strong demand for our products. Although we are cognitive of the impact that the world wide credit crunch has had on the global economy, our customers appear to have access to capital and remain committed to a growth strategy focused on aggressively building new cellular based wireless communications networks in emerging markets. At this time, although we are mindful that economic conditions can quickly change, we continue to see strength in our customer base. Due to the absence of terrestrial infrastructure in the vast majority of the international market our customers rely heavily on Comtech to provide satellite based back haul products and solutions to transport voice, video and data traffic to Internet points of presence telephone switches. The solid demand for satellite transmission is also driven by the significant increase in the usage of video applications by end users across the globe. As well as the rapidly accelerating roll out of bandwidth intensive high definition television channels. Our carrier in carrier enabled modems continues its market penetration, as an even broader array of customers has gained appreciation for the significant satellite bandwidth savings that it offers. As well as other features that it offered by this game changing technology. Because of the efficiency it offers, carrier in carrier in becoming the defacto solution for major satellite trunking and back haul networks. In fact, during last week's Satellite 2008 Conference, Viostat announced it's new reveling cellular back haul solution which utilizes our CDMQX modem with carrier in carrier, our Memotech Optimization and compression products and LDPC, our latest error and correction technology, in order to provide its customers with superior performance at cost effective prices. The US government's use of satellite technology continues to grow also, there by driving the demand for our US certified modem, the SOM 5650. During the quarter we generated solid bookings for contract wins related to the 5650 as well as the 5650a modem. The 5650a is fully compatible with FIPPS 140-2 government securities standard and has an advance network processor able to handle 150Mbps of PCPIB traffic. Despite our demonstrable leadership position in this market we maintain unwavering commitment to investing in new technologies that will contribute to driving further efficiency in our modems. Now lets discuss over-the-horizon and microwave systems. Over-the-horizon microwave systems, which is the other product line within our telecoms transmission segment provide highly secure point to point communications transmission using the troposphere layer of the atmosphere 7 miles above the earth to reflect the signal from one terminal to the other. Due to the complexity of the technology we not only develop and manufacture the hardware components but we often act as the systems integrator for the entire system to ensue the quality of the communication length and to maximize performance. We are the defacto market leader having remained committed to innovation and customer service in this area for more than 3 decades. As expected, sales for this product line to the US government and our North African country end user customer remain modest in Q02. Bookings aggregated $9.3 million including orders for the US government for the TRC170 modem upgrade program. While we believe there are approximately 200 TRC170 terminals yet to upgraded, with higher speed modems ,we continue to be disappointed with the slow roll out of official orders. The TRC170's are military over-the-horizon microwave terminals that were initially built 25 or more years ago and have been used in a reduces capacity over the past several years. The US government's decision to re embrace tropos is two fold. First, the significant advance that we have made in through put speed now will allow the transmission of color video and other bandwidth rich applications over this type of channel. Secondly, the ability to offload midrange satellite traffic onto tropo links is critical to the DOD's goal of alleviating some of the shortage in related call cost of satellite bandwidth. With respect to our North African end customer, there is no significant change from our prior earnings call guidance discussion, where I stated that we were in active discussions with the North African end customer and 2 prime contractors relating to 2 separate opportunities in the range of $40 million each. Although contracts of this nature can always experience unanticipated delays we continue to believe that there is a reasonable likelihood that we will book at least 1 of these contracts during FY08. In any recent, we see both contracts as revenue contributors beginning in fiscal 2009. Like you, we obviously would have liked a more predictable time frame for these programs, however we maintain a strong relationship with the end customer and remain very confident that these orders will come. In conclusion, our telecommunications transmission segment is a market leader and remains committed to investing in technologies that will continue to differentiate our products in this important market. Now moving on to our mobile data communications segment. Here Q02 was an exceptional quarter for our mobile data communications segment. Revenues in the quarter of $87.7 million significantly exceeded the previous quarter. Despite the significant concentration of orders that required delivery in Q02, outstanding execution by our world class high volume technology manufacturing center in Tempe, AZ allowed us to meet our customers stringent product quality and timing requirements. For those of you who are not familiar wit our mobile data communications business, I will provide some background. We have been providing mobile based satellite tracking and communications hardware, software and network services to the US government since 1999. On August 31, 2007 we were awarded 2 new IDIQ contracts from the US government, US Army, totaling $821 million dollars. The first MTS is a $605 million fr 3 year IDIQ contract for the US Arny's movement tracking system, which will run through July 2010. MTS is a satellite based communications system providing logistics and combat support units with a secure, real time global positioning system, vehicle location and tracking capability. MTS provides secure two way text messaging between stationary base locations and mobile vehicles, enabling ground commanders to monitor and tract resupply items, thereby reducing total asset visibility with in the operational theater. Comtech is the prime contractor or systems integrator on the MTS program and provides a turnkey system including the design and development of hardware and software, the manufacturing of the transceiver, the integration testing and fielding of all system components, the procurement of satellite airtime for our customer and the management and operation of a worldwide satellite network that facilitates tracking and communication for thousands of mobile assets. Through Q02 2008 we have received orders totaling $59.7 million against the $605 million contract. The second contract, Blue Force tracking, is a $216 million IDIQ contract with CEcom, the communications and electronics command, to provide the satellite communications backbone for a battle command real time situational awareness and control system. Under this contract, which term is through December 2007, we provide mobile satellite transceivers, satellite bandwidth, satellite network operations, engineering services, and program management for the BFT system. Blue Force tracking is a critical program for the US Army, and is recognized as an essential part of the DOD's communications infrastructure in Iraq and Afghanistan. It has become one of the higher profile army programs as a result of its effectiveness in overcoming terrestrial communications distance limitations and its ability to reliably operate in the extreme environmental conditions encountered in the operational theaters. Through Q02 2008 we have received orders totaling $95.9 million against this $216 million contract. As I've discussed at length on previous calls we are in the midst of a substantial R&D investment initiative focused on upgrading an improving the performance of our satellite network and are investing aggressively in our important internal projects to increase network speed, improve bandwidth utilization and add functionality to maximize the value of our products and solutions for the current systems end users as well as other military and commercial customers that have requirements for increased bandwidth, low latency and secure data communications. We have begun to market our MTM203, a miniature Lban transceiver module, designed for use in conjunction with our world wide satellite network. The module's form factor in global communications capabilities make it ideal for integration into major communication systems, integration into hand held or dismounted communications products, or for use with a stand alone transceiver when combined with one of our improved antennas. The MTM 203 is a cornerstone technology for our mobile data communications segments next generation mobile satellite communications products and services. Based on Q02's strong results and the visibility through the remainder of 2008, we expect that our mobile data communications segments for the first time, will surpass our telecommunications segments as our largest segment in terms of revenue in FY08. On our last call, we sought to provide a road map for you to better understand the underlying DOD budgets supporting our MTS and BFT programs. I will now provide an update to last quarter's overview. The army's MTS budget for governments FY08 totals $273.1 million, which includes a $73.2 million base appropriation, $69.9 million of global war on terror funding, and an upwards cost adjustment for global war on terror of $129.9 million. To date however, it is our understanding that only $16 million in MTS specific global war on terror funding has been appropriated. It is also our understanding that a decision related to the potential appropriation of some or all of remaining $183.9 million in GLOC funding will be deliberated on congress over the next few months. None the less, the majority of our 2008 MTS fiscal sales will be funded by the army's FY07 and prior year budgets. Total bookings in our mobile communications segment were $48.4 million in Q02, including hardware as well as satellite airtime and services, we expected a significant portion of these hardware orders will be delivered during Q03 and Q04 of the year 2008. As we look ahead in anticipated future demand for our mobile data communications segment products we were certainly pleased to note that the proposed army's budget that was recently released includes $142 million of line item funding for MTS, a significant increase over the initial 2008 line item funding. However it is our understanding that the government's fiscal 2009 budget have been increased to reflect congresses goal of reducing GLOC supplemental funding and addressing those needs in the core budget. We continue to deliver on the $53 million Blue Force tracking order we received in Q01 for our satellite transceivers. During the quarter, we also received a $17.7 million order of satellite communications and professional support services as well as a $23.4 million order for additional hardware. In fact, in aggregate the orders received are in FY08 already represented a substantial increase compared to FY07. As we look ahead, we are not able to pin point the budgeted fiscal 2009 line items for our portion of BFT, as it is lumped into a larger FBCB budget. We will look to provide additional visibility to our shareholders when it becomes available. In addition to our outstanding financial results we are extremely proud of the significant accomplishments achieved my our mobile data communications segment in assuring that we continue to provide the US Army with reliable and innovative tools to maximize the safety of American soldiers in warfare environments. Our RF microwave amplifiers segment enjoyed very strong year over year sales growth. Driven by the delivery of amplifiers and switches in support of the crude 2.1 program. The healthy increase in bookings during the quarter was also attributable largely to additional crude 2.1 orders. As well as orders for Rathion for the F large radio program and from an international customer to support a communications jamming program. We are pleased with the significant growth in this segment and ended the quarter with a record backlog of $55.9 million, providing strong visibility for the next 12 months. Profitability in this segment has been impacted by a number of complex new programs that are being worked on at the same time and the simultaneous quick ramp up in crew 2.1 reduction. As Mike mentioned earlier, we continue to experience some difficulties in associated developmental costs with certain of these products. However, we expect that these issues will be fully addressed during the second half of the year and that we can return to more robust margins in this segment. We continue to benefit from our status as the largest independent provider of high power, broadband, solid state amplifiers in the market. We sell to prime contractors whose end markets applications include the defense sector for jamming communications, radar and IFF, commercial aviation for air, satellite to ground communications, medical equipment for oncology systems, and various industrial sector applications. We believe that our broad and expanding product offerings, proven track record for quality and reliability, and high volume manufacturing capabilities are clear and compelling differentiators for us and the RF microwave amplifier segment. Back to Fred, he'll provide guidance for 2008.
Fred Kornberg: Thanks Rob. As I have stated many times in the past, our ability to provide revenue and EPS guidance is dependent upon a number of factors many of which are beyond our control. These factors include, but are not limited to the timing of bookings and related revenues of large contracts, such as MTS, Blue Force tracking, Crew 2.1, as well as on our north African over-the-horizon microwave end customer; to the uncertainty, particularly in todays environment regarding US government funding priorities and budget constraints; and finally to economic conditions, particularly in the current uncertain economic environment that we're operating in. That said, I will provide updated guidance as I have done in the past on a GAAP basis, which includes amortization of stock based compensation, as well as on a non-GAAP basis with excludes amortization of stock based compensation. With that in mind, we're tightening our 2008 revenues guidance range to $528 - $530 million from our previous guidance range of $515 - $530 million. If the FY08 MTS GWOT, or global war on terror funding, that Rob spoke about earlier had already been approved we would most likely have raised our guidance for the year, and should that funding be approved in the near term, some revenue increase could still be possible. At the same time, we're maintaining our estimated non-GAAP diluted earnings per share for FY08 of $2.77 - $2.82. Here I should point out that this guidance not only reflects the GWOT funding delays, but also reflects approximately $.06 worth of lower interest income expected in FY08. This because of the significantly reduced interest rates on our invest able cash balances. That's the bad news, the good news is that the $.06 decline was offset by additional operating efficiencies thereby resulting on our maintaining our FY08 EPS guidance. This guidance equates to a GAAP diluted EPS range $2.53 - $2.58. Our strong results for the first half of FY08 and the underlying strength of our businesses continues to provide me with great optimism about the future of Comtech. We are generating these strong results at the same time we are continuing to increase significantly our R&B spending to ensure that we remain market leaders, that we are continuing to experience further delays in the receipt of the next phases of orders related to our North African over-the-horizon microwave customer, we are getting reduced interest income on our cash and cash equivalents as a result of the lower interest rate environment, and we're also experiencing only modest approval and appropriations of GWOT funding by congress for the MTS program. We believe strongly that this is only a timing problem. While we prefer funding and orders to come in earlier and in larger amounts, the delay of the orders potentially offers a positive framework as we look forward to FY09. While our first priority continues to be the organic growth of our core business, we continue to actively pursue acquisition strategy in order to compliment our core businesses and to add additional growth. We continue to be selective and patient. Once again, FY08, is well on its way to being another record year for our company, our 6th year in a row. As I mentioned before, 2009 framework is beginning to take shape. Now we will be happy to answer your questions.
Tim Quellen - Stephens: Good Morning. I think Rob went through this, so I just want to confirm the backlog by segment; 55.9 in telecoms transmission, 107.6 in mobile data, and 55.7 in amp.
Rob Rouse: Tim, telecoms is 55.7 and RF is 55.9.
Tim Quellen - Stephens: Thank you. In terms of the telecoms transmission segment, your guidance of a flat year versus FY07 presumes some pretty big pickups sequentially in revenue from Q02 – Q03. Is that a function of a pickup in shipments of TRC170 kits or is there something in the satellite station business that's changing?
Rob Rouse : Its a little bit of both. Obviously we do expect some level of TRC170, in fact we have received some orders in that regard in Q02, so sequentially getting to that statement we made in our Q about the revenues being consistent in the periods there's a little bit of both, some of it is the TRC170 and some is the earth station satellite.
Tim Quellen - Stephens: would you be able to comment on what you're expecting at this point in terms of TRC170 sales for the year compared to FY07?
Rob Rouse : I wouldn't want to get into that level of granularity. I can tell you, and Mike correct me if I'm wrong, that sales in Q02 were virtually 0. So if you remember, Q02 of last year had a very, very strong level of TRC170 in it so just to give you some order of magnitude, its closer to 0 than it is a million.
Tim Quellen - Stephens: That was also the case in the first quarter, it was close to 0 as well?
Rob Rouse: That's correct.
Tim Quellen - Stephens: This has been the case for the last 4 quarters with the US commercial business has been down quite a bit, and I think in this most recent quarter, US commercial business was down about 40%, what does that reflect? Because the satellite earth station business seems like its growing well, is that more amplifier or where is that decline coming from?
Rob Rouse: That piece is a relatively small part of our business, but certainly in the mobile data comm side it's virtually all US government. There are slivers of it in the amplifier business and in the earth station business, I don't have in front of me the breakout of that, I'm sure there's a piece of it in both but its not a primary growth driver for us.
Tim Quellen - Stephens: It's a relatively small piece, understood. Just one more question if I may, and then I'll get back into the queue, could you talk about what's happening on the Blue Force tracking program, both in terms of the development effort that Viasat is working on, and also any impact of this move to JBPCP and how that might impact what you sell to that customer?
Rob Rouse: On that note, all I would say is that our guys at mobile data com are very focused on this area and we're pleased so far wit the progress that we've made in terms of our platform, from a competitive point of view, I would like to point out, as I did in my comments, that they've spent $95 million, they booked this year. I think the importance of this technology and the infrastructure is very much entrenched and we're very focused on making sure that we're there for the long term by investing our R&D with the progress that we're making.
Tim Quellen - Stephens: Thank you
Operator: We'll take our next question from the line of Mark Jordan - Nobel Financial. Your line is open.
Mark Jordan - Nobel Financial : Good morning gentlemen. First question relative to the RF group, could you discuss what margins that organization should be able to derive once you've ramped up through the second quarter taking care of your design and ramp costs? Going into FY09 what kind of operating margins should we expect to see from that group?
Rob Rouse: I think if you look at that segment over the past few years when we were working on the GWOT program, those margins were unusually high, but if you look at our operating margins over the past 5-6 quarters, this past quarter we were at 7.5% range, I think operating margins in that 10% - 12% range are appropriate, unless we have a large product going through the plant at one time where we have more operating leverage. If you look out over time, that's where it should be if you take the startup costs out of the way and the large contracts coming in.
Mark Jordan - Nobel Financial : Second question relative to cash flow, obviously you significantly improved accounts receivable and inventory to address the surge in orders that you had in Q01, what kind of cash flow from operations would you expect to have by the end of the year?
Rob Rouse : In total, the way to look at it, we should be north of $400 million on the balance sheet by the end of the year and we're shooting for between 400 – 420.
Mark Jordan - Nobel Financial : Lastly, could you talk about, give some guidance, you said last quarter while you don't give guidance you gave a little bit of a sense of expecting a surge in sales here, one could you give us some sense of the topography of those sales moving forward and then secondly, can you address what should be the operating margin at Mobile data? It was phenomenal in Q02 at 32%, if you back out the adjustments that's 800 basis points, where should this settle as volumes settle back down to more normal rates in the third and fourth quarter?
Rob Rouse: There is no doubt, Mark, in the quarter of some benefit some leveraging this quarter. That's why we always tell people, even in this quarter where it's to our benefit, that you really u need to look at the business on more of an annual basis. I would just guide you to do that, just go back over the last 12 months to give you a general sense of where it would be. At the same time, as revenues go up for the year that leverage still exists, but not at the rate it would for this spike in the quarter. When you look at the operating margin for Q02 this year it was over 30%, I think it would be at some number between where we were in the first quarter and where we are in the second quarter, closer to where we were in the first quarter, for the full year given the leverage and the model.
Mark Jordan - Nobel Financial : Thank you Very much
Rob Rouse : Mike, we were at 24%?
Mike Porcelain: That's right.
Rob Rouse : As part of my ongoing effort, Mark, to avoid giving poor guidance, if you remember last quarter I specifically said in my comments that we would expect the second quarter to be out of the ordinary, so by not talking about that, we don't see one quarter out of the year as being unusual. But the understanding is that we can have fluxes in between the quarters just based on other reasons, but we don't see an unusually high or low quarter out there for the rest of the year.
Mark Jordan - Nobel Financial : Thank you.
Operator: The next question is from the line of Tyler Oho. Your line is open.
Tyler Oho : I want to follow up on the TRC170 question tat was asked earlier, If you could help me understand what's causing some of the delays in getting that to stay at high levels of shipment on the TRC170's.
Rob Rouse: If you just follow the oder flow over the last 9-12 months, as I've said in my comments, we've been disappointed, we did get some orders in last quarter, but we can ship those pretty quickly, so its just really a funding the issue. Nothing really more than that. We're hoping that once the funding is finalized for this year, it starts to loosen up a little bit, we ship those very quickly after we get the orders in. It;s no more complicated than that for our perspective, we're certainly working with the company to try to get the funding release, but beyond that I can't really comment much.
Tyler Oho : Out of the 600 that are available to be retrofitted we have 400 remaining. Did I hear that correctly?
Rob Rouse : Yes, we've always said that we believe there are about 600 produced, but there's probably some of them that are badly damaged or misplaced, so our number has always been around 500. At this point in time we're probably in the 250 – 270 range in terms of what we either have orders for or what we've replaced. We';re approximately about 200 or maybe a little more than that.
Tyler Oho: Just a quick update eon TRC175, I haven't heard you talk about it recently.
Rob Rouse : That program, Tyler, has been out on the back burner because what they're trying to do is deploy as many units as possible in TRC 170 is a more cost effective way of doing that, because all they really need to do is replace the modem upgrade kit. So, if you look at the price of the modem upgrade kit versus a fully loaded terminal, it's must more cost efficient for them to do that, so we don't really see that as a growth driver for us until they're done with the TRC170 program.
Tyler Oho: Just 1 more quick question, the R&D expense obviously is up quite a bit, year over year, but sequentially it was also a little bit up, going forward is this a range that we should expect, is it more combination of the first and the second quarter?
Rob Rouse: Fair question, the R&D in the Q02 was a bit of an aboration, at least for this year on the low side as related to the timing of certain things, You can expect R&D as we see it now for the rest of the year to be more in line with the Q01 run rate than Q02 run rate.
Tyler Oho : Very good, thank you.
Operator: We take our next question from the line of Rich Valera. Your line is open.
Rich Valera : Thank you. Rob, could you just go over the numbers, what was the base level of MTS funding in FY08 and also how much of the GWOT has been approved so far?
Rob Rouse : Sure, the baseline funding on the 08 budget now is $72.3 million and we believe, based on what we see going through the system, that of the $69.9 million plus $129.9 million almost $200 million of GWOT funding, that about $16 million of that was approved back in December, and the other $184 million or so its in the bill that the house and senate will be conferencing on over the next couple of months. I'll point out that when you look at the contribution of the 08 funding, no matter what the GWOT turns out to be, there's a relatively small amount of 08 funding driving our revenues this year.
Rich Valera : Are you completed funded with what has been approved, for your 08 numbers at this point?
Rob Rouse: There are some additional orders that we are waiting for, but those would all come out of funding that we believe has already been appropriated.
Rich Valera : Fred, you said in you comments regarding the guidance that you said you strongly felt that the MTS funding issues were a matter of timing and that you felt confident of actually getting those. Can you give any color on anything that underpins your confidence that these numbers, or that this funding will actually get approved?
Fred Kornberg : Well, I can't definitive was congress will do in the next few months. What we're hearing in terms of our customer's expectations is that funding will be approved. It may be reduced by a certain percentage but I think that for the most part, we'll be approved.
Rich Valera : Just on FY09 you mentioned that the base level of funding was significantly higher is there any visibility at all in terms of what kinds of GWOT funding might accompany that or is the intent really just to have no GWOT funding with this higher level of baseline?
Rob Rouse : It's very difficult to say Rich, if we use 2008 as a case study, there was $73 million and then there was $70 million in GWOT funding put on the table. If you add the 70 plus the 73, thats 143. That's not very far away from the 142 that's in next years budget, very early on in the 2009 budget process. On top of that last year, in 08, there was another $130 million request, so there are a lot of moving parts here, but to be fair about it, as I said, we do believe that the 142 does include some amount that maybe in the past would have been in GWOT, but it's impossible for us to say how much that might be.
Rich Valera : That's helpful. Finally just with respect to the cash balance, I think you mentioned in the prepared remarks that you're still looking at acquisitions going on roughly a year now from your last analyst day, when you said that 6 months you would be doing something definitive with an acquisition or something else with the cash like a large buyback or dividend or something. Is there any further update you can give us there, or is it just that you've got so much in the offer from an end perspective that you don't want to do anything, when can we expect some decision on the large cash balance?
Rob Rouse: I would say that last summer when the credit markets started to deteriorate, that did two things for us, first of all it makes us more cautious about our cash positions, that financing isn't available now as it was back then, and secondly I think what its done during that period is that strategic buyers like ourselves probably have more opportunities to buy assets at more reasonable prices then we were at this time last year. Those are two factors that are under consideration, but it is something that we are actively looking at, the board addresses it on a regular basis, but we think that the amount of cash that we have right now, is still prudent but it is something we look at regularly. I say prudent in light of those two points that I mentioned in my remarks, given the credit markets and the M&A markets as we see it today. It is something I can assure you our board is very focused on and that we'll continue to address.
Rich Valera : Thank you.
Operator: Up next is James Macorly from Com Stuart. Your line is open.
James Macorly : Thank you, good morning. Just one question, in Q01 you were saying that you thought telco would be up and now you're saying flat, so whats the delta, what came out of the telco expectation?
Rob Rouse: For the most part, Jim, it goes back to the TRC170's. We have been disappointed that we have not received orders for that model, but in terms of the language, that was the primary driver.
James Macorly : Terrific. Thank you very much.
Operator: We can take our next question from the line of Mark Bolser - Blue Fin Investment Management. Your line is open.
Mark Bolser : Good morning, This question is for Fred or perhaps Rob. Can you walk me through your satellite earth station business what your best understanding is, how much your sales go to new built networks as opposed to adding more Comtech product to networks that already exists?
Fred Kornberg : I'm not sure that we can really answer that question Mark, a lot of our new work would be carrier in carrier modems that has really caught on very well. Its really both new and old networks, so its really difficult to give you a percentage of one or the other.
Mark Bolser : You probably know whats coming next because the primary competitor in the space, have you seen any impact in the competitive environment where perhaps customers are leaning towards you because they don't know about the future of radar?
Fred Kornberg: I can't say that we've seen any impact of that decision, that they seem to have made. I would think that competitors probably are looking at it, there may be some in the future, but I don't think that we've seen anything as of yet.
Mark Bolser : Fair enough. Another question, you may or may not be able to answer, on the mobile data com business. What's your best understanding of the penetration you have on logistics vehicles for MTS and perhaps on the combat for Blue force tracking?
Rob Rouse: On that Mark, on the MTS side the numbers do move around but I can tell you that we believe we are less than 50% penetrated to what they would like do. Again, thats just within the MTS office, so the other commands that have a need are not in those numbers. On the Blue force tracking side we have even more limited visibility in that as you know, the types of vehicles that this could potentially be used on, is increasing for example Emraft, but we don't know the specific number of units that those would go on, we're really selling into that office, so on that one, I wouldn't even venture to make a guess, other than its a relatively low percentage.
Mark Bolser : Great, thanks. I must commend you on your transparency with respect to your cash, because you probably spent more time on it than companies that have bumped into problems with cash, but what interest rate are you assuming going forward, reflected in your guidance for cash positions?
Rob Rouse: We're not giving too much granularity. We are assuming that another reasonable rate cut, obviously this amount of interest income will affect our cash balance as well, but all I can say is we are assuming another cut going forward of reasonable size, that is baked into our guidance.
Mark Bolser: Thanks for your time.
Operator: We can take our next question from the line of Michael Ternily from Benning Incorporated. Your line is open.
Michael Ternily - Benning Inc : ....tracking, you said visibility in funding was somewhat limited, it looks like line items through 2013 are about $2.5 billion, if I'm correct you guys aren't sure just how much of that is allocated to your specific component of that blue Force tracking system?
Rob Rouse: Yes, that's correct Mike. Blue Force tracking platform itself is actually a terrestrial based platform, where satellite is used as a back up, so we certainly have become an important part of it as it relates to dealing with field limitations but unlike MTS we're a line item and we don't have direct visibility there, but for example if you look at this past year I think the number was $95 million of orders received for it, there was no way you would ever come up with that number looking at the budget as it stood this time last year. All we look to there is ongoing discussions wit the customer and fielding plans and the like, but it is hard to correlate that number as to what it means to us.
Michael Terniliy : Fair enough. Just, obviously this was an exceptional quarter, do you get any sense that this might have been, not pent up demand, but more aggressive spending but the DOD in anticipation of a potential election change and they wanted to flush these orders through before any voids happen in November? Just trying to get at if you guys might experience some sort of slowdown in the first half FY09, depending on that election.
Rob Rouse: Well, a couple of things to point out Mike. On one hand, keep in mind that may of the orders that drove the revenue in Q02 were received in Q01 and if you recall there was a bit of a delay, we were speaking in the spring and summer waiting fr these contracts to be signed. I view what we experiences in Q02 as more the aftermath of what we experienced last sumer with some of the pent up demand, but again, it is one of the reasons we ask you guys to look at thinks on an annual basis because sometimes that's just the way they order. Going the other direction, if you look at our FY08, we've really received a very limited amount of funding out of the FY08 budget so far for MTS. On that hand that hold well for the future because we're still waiting on a lot of that stuff, GWOT hasn't even been appropriated, it's one of the reasons we caution people to try and look at it on an annual basis because when you do that you some of these peaks and valleys out of the equation.
Michael Ternily - Benning Inc : Just more on, you guys certainly have a high level of concentration through out a handful of programs and government related revenues are very high, is there some concern on your part, there is a lot of noise around defense spending, the funding looks to be there fore early 09 and certainly beyond, but related to the acquisition front are you looking more at a commercial for diversifying the revenue stream into the commercial segment?
Rob Rouse : We try to focus, from an acquisition point of view, on leadership, so thats always going to be the first criteria, but sure, we would like to diversify as much as we could, but if there is a defense played that was very well positioned, you know it had a strong leadership position in the technology that looked it wasn't any particular conflict specific, we would look at it, but certainly this segment has down so well and grown so much that looking at the M&A area we certainly would like to diversify, but its really more based on leadership prospects than revenue diversification.
Michael Ternily - Benning Inc : Just one last question, relating to telecoms transmission segment, what are you guys seeing as far as the global telecoms capital expenditure outlook from the carriers? I've seen some reports that say that spending might peak in 2010 or 2011, are you seeing any material changes from the carriers out there?
Rob Rouse : We haven't seen that so far Mike, and again as I mentioned in my comments, our telecoms work certainly in the earth station area, is in emerging markets where they're really building infrastructure to make those areas more competitive, so we have not seen that so far. Things can change quickly but we have not seen a deterioration in our satellite earth station customer base, at all quite frankly at this point.
Michael Ternily - Benning Inc : Thanks for taking my questions guys.
Operator: We have a follow up question from the line of Tim Quellen from Stephens Incorporated. Your line is open.
Tim Quellen - Stephens: Thank you. I know this is a difficult question, to what extent is your MTS and Blue Force tracking revenue tied to the US presence in Iraq? Specifically, its the service piece, what so you think of that service piece over the next 3 years with the potential decline of troop levels in Iraq?
Rob Rouse: As we've spoken about before, I'll point out that the funding numbers for 08 that we talked about earlier those were vetted in the late spring/early summer time frame last year, which was a period if you go back in time where everybody wanted us out of Iraq. All the presidential hopefuls, even President Bush, was talking about significant drawbacks, so I point out that those were vetted and increased at a time where the sentiment was that we would be out of Iraq which I think supports our view that MTS is more of a infrastructure issues than it is a conflict specific issue, but obviously we're no different than anybody else, we're subject to changes in spending and the like but I think this program has fared very well and stood up very well in times where there has been talk about leaving Iraq. Change in administration obviously anything could happen, but once again in the last few months I hear much more about that we probably need some level of presence there specifically Tim what that means to the level of satellite bandwidth they need, its impossible for us to predict that. We once again still believe at this point that this is more of an infrastructure play and based on my comments earlier we believe they have a long way to go. There is always uncertainty there, given the amount of ordering and the budgets that we're seeing, we still believe today that's intact.
Tim Quellen - Stephens: Thank you.
Operator: I'm showing no further questions at this time. I'll turn the conference back over to our presenters for any closing remarks.
Fred Kornberg : We want to thank all of you for your interest in Comtech, we certainly look forward to speaking with you again very soon. Thank you very much for attending.
Operator: This does conclude today's teleconference. Have a great day. You can disconnect at any time.